Operator: Good day, and welcome to the Crédit Agricole Second Quarter and First Half Year 2018 Results. Today's conference is being recorded. At this time, I would like to turn the conference over to Jérôme Grivet, Deputy General Manager and group CFO. Please go ahead, sir.
Jerome Grivet: Good morning or good afternoon to everyone of you, and thank you in advance for attending this meeting on a Friday, August 3. It's really kind of you. Let me start with the first, I would say, the Page #4 of our presentation. I just want to highlight that we just published this morning the highest quarterly underlying profit of CASA since the IPO, and the story of this quarter is a story of profitability, of growth, and you are going to see that in every business line. The top line has been growing quite steadily of development of our activities. And again, we have been concluded some significant new partnership this quarter of efficiency. And you will see that we have had positive jaws effect across-the-board; of a further decline in the cost of risk; and of a solvency, which is still at a very high level. If I go now to Page 5 of our document, you will see that the net income group share stated published net income group share of Crédit Agricole S.A. this quarter is at EUR 1.436 billion. It's up 6.5% as compared to the second quarter 2017. And for the first half of the year, it's close to EUR 2.3 billion, up 4.5% as compared to the first half of 2017. Obviously, the real performance is better assessed when we look at underlying figures, especially because last year, we had had some significant positive one-offs during the second quarter, namely: a significant reversal of the home purchase saving plan provision; and the capital gain on the sale of our participation in the capital of Eurazeo. So if we take a look at the underlying figures for CASA, the net profit is again close to EUR 1.4 billion this quarter, almost no one-offs this quarter. But the improvement is far more impressive, close to 20%. And if we restate those figures in order to present figures at constant scope and ForEx, then the improvement is close to 24%. For the first half of the year, and if we -- I take the underlying figure, it's up 6%; and underlying figure at constant scope and ForEx, plus 16%. For the group globally, net profit for the quarter is close to EUR 2.1 billion; for the first half, EUR 3.5 billion; and the underlying figures are close to those figures, [ EUR 2.056 billion ] for the quarter and EUR 3.4 billion for the first half of the year. Last point maybe on this slide. The CET1 ratio fully loaded for the group stands at 14.8%. It's up 16 bps in the quarter. And for CASA, it stands at 11.4%. Seemingly, it's stable, but actually, there is a slight improvement of 5 bps, which is not seen due to the rounding effect. On Page 6, maybe just 2 elements I would like to highlight. The first one is that if we annualize the figures, the underlying figures of the first half, we end up with a return on tangible equity that is slightly above 13%. And if we again take into account the underlying cost/income ratio, it's significantly down, close to 3 percentage points down, and it's a little bit below 58% this quarter. Just as a reminder, in the first quarter of 2016, it was a little bit above 70%. On Page 7, some -- just some highlights on what is -- what has been going on in the development of new product and the development of our digital offers in our network. You know that we've been launching eko within the network of the Regional Banks end of last year. Since that time, we managed to capture almost 50,000 new customers, out of which 80% were not previously customers. And it represents only 11% to 12% of the new entries in relation of the Regional Banks, so there is no cannibalization per se. Digitalization rate of our services is improving, and the usage, the effective usage of all our digital and online devices is improving. On Page 8, just a few highlights showing that behind the very good financial figures, we have also a very good level of activity. It's been the case in the retail banking activities with loan books up 9% to 10%. It's been the case in the asset gathering and insurance businesses with outstandings up in all business lines. It's been the case in the specialized financial services business division with a strong activity across-the-board. And it's been especially the case in the Large Customers division with a very positive commercial momentum both in the CIB and the -- in the asset servicing businesses. Let me now drill a little bit down into the figures. On Page 10, you have the traditional presentation for the quarter and for the first half of the year of the net income group share. And what you can see is that, as I said, the net income group share for the second quarter is up close to 20% on an underlying basis. And what is even more interesting is that this positive evolution is shared by all business lines in different proportions, of course, but shared by all business lines. So you will see that for all our activities, the net income group share is up on an underlying basis. For the first half of the year, it's up 5.9% and restated from the scope effect and the ForEx effect, it's actually up 16%. Revenues were very significantly up. On a stated basis, the top line is up close to 10% this quarter. On an underlying basis, it's up 11.5%, and restated from the scope and ForEx effect, it is still up more than 7%. And again, all business lines contributed to this improvement of the top line of Crédit Agricole S.A. And what you can see is that it's more or less the same situation for the full first half of the year. As far as the cost base is concerned, figures are much lower. On a stated basis for the quarter, the costs are up 6%, so there is positive jaw, 4 percentage points between the top line and the cost line. On an underlying basis, 7.5%, so again, almost 4 percentage points of positive jaws. And restated from the scope and ForEx effect, 1.9%, then the positive jaw is more than 5 percentage points. And you will find the same tendencies for the first half of the year globally. So in this situation, obviously, the cost/income ratio is significantly down, as I already stressed. Cost of risk is already -- is also, excuse me, low and further declining. For the perimeter of Crédit Agricole S.A. and for the last 4 quarters, the average of the cost of risk is 26 basis points. And for the perimeter of the group globally, it's 18 basis points. In both cases, it's significantly below the assumption of the Medium Term Plan obviously. And in both cases, it's -- it shows a very benign cost of risk. If we drill down a little bit on the different business lines of Crédit Agricole S.A., the cost of risk is also declining in all the significant business lines. It's more or less stable within the consumer credit business. It's further declining within the retail banking activities in Italy, 78 bps on average on the last 4 quarters, but actually, 58 bps only on the last single quarter due to 2018. For LCL, it's remarkably stable actually. And for the financing activities of the CIB, it's very significantly down in -- on a rolling average, 1 bp. But actually, it's been a reversal of credit risk provision on this single quarter, net reversal of a little bit above EUR 50 million. On Page 15, you have the traditional view of the breakdown of our underlying revenues and underlying profit by business line. And what you can see is that we continue to enjoy a very good level of diversification, which is a very good asset in terms of resilience of our profitability. And I will now go on the presentation business line by business line, starting with the asset gathering activity. In the asset gathering activities, as I already said, assets under management are up in all business lines. It's been the case for the asset management business. You know that Amundi published its result yesterday, and so you may have seen that after a very good first quarter in terms of new inflows, the second quarter was, obviously, a little bit weaker but with a positive outflow and a very good quality of this inflow, excuse me, and very good quality of these inflows; a slight outflow in the money market funds; and a significant level of inflows in the long-term assets. Life insurance, it's up EUR 3 billion; and wealth management, it's up EUR 4 billion. If we take a closer look at the insurance activities, the business was very significantly well-oriented both in life and nonlife activities. In nonlife activities, P&C and protection, premium income is up close to 8% quarter-on-quarter, Q2-on-Q2. And in savings and retirement, we not only have a good level of net new inflows, but we also managed to keep and even to improve the breakdown of this net new inflows between unit-linked and euro-denominated policies. In terms of financial figures, the revenues are significantly up 7.5%. The costs are down, so the income before tax is significantly up, plus 15% on the quarter. And the slight decrease in the net income group share is due only to the tax effect. And actually, if we restate the figure of 2017 from the capital gain that we made with the sale of a reinsurance business in Luxembourg, we would see the net income group share up, slightly up for the quarter and for the first half of the year. So nothing much to mention in terms of performance for this business for the quarter. Just like we mentioned that Crédit Agricole Assurance concluded in the last days significant partnership with CreVal, which is an Italian retail bank. It's a 15-year distribution agreement for Crédit Agricole Vita, our life insurance company in Italy, in order to distribute on an exclusive basis its products through the CreVal network. And this partnership goes along with the acquisition of the in-house CreVal insurance broker and also with the acquisition by Crédit Agricole Assurance of a stake of 5% in the capital of CreVal. For the asset management, I will be very swift because again, Amundi published its results yesterday. What you can see is that, obviously, revenues are significantly up. Gross operating income is up. The net profit is very significantly up. This is, obviously, due to the integration of Pioneer. And what is interesting is that the cost/income ratio is at 53%, close to the level where it was before the acquisition of Pioneer, which means that the materialization of the cost synergies is on its way. Retail banking activities in France, LCL, good level of activity. Customer savings are up 2%. Actually, it's a stability for the off-balance sheet customer savings and plus 3.7% for the on-balance sheet customer deposits. Loan outstandings are up 4.6%, with a skew with less -- a smaller increase for home loans and a sharper increase for corporate and professional loans. In terms of P&L, revenues are up 2%. And within these revenues, underlying revenues, what we can see is that fees are significantly up 3%. And we feel a normalization of the level of the net interest margin. Costs are again down 2.6%, so very positive jaws effect. Gross operating income is up 11%, and net income group share up 6%, so it's been a very good quarter for LCL. Italy, again, a good quarter for our retail banking activities in Italy. The integration of the 3 Regional Banks that we bought end of last year is on its way. San Miniato has already been merged within Cariparma in June; Cesena in July; and Rimini will be merged in September, so the process of realizing the cost synergies is starting well. And indeed, the contribution of those 3 banks, the net profit generated by our Italian retail banking activities is now positive as soon as this second quarter 2018, a few million of euros. But it's already positive, so it's a little bit swifter than what we initially expected. Maybe a last point, the quality of the loan portfolio is further improving. We have had a reduction in the level of NPLs. It's now at 10.3% down from 11.5% at end of March. And the coverage ratio is improving slightly. International retail banking activities, excluding Italy, maybe just to go directly to the conclusion, the net income group share is up 11% in euros, which means that we are now in a position where the improvement that we've been seeing in the last 2 to 3 years in local currencies is no longer offset by some ForEx effects. So it's a positive situation, and now a significant contribution to our profitability. Specialized financial services, good level of activity both for the consumer credit business and for the leasing and factoring business. For the consumer credit business, the activity is good across-the-board. It's been especially the case for the partnership between CACF and our retail network. And also, it's been the case for the car financing joint ventures. CACF entered into new partnerships this quarter with Aston Martin in the field of car financing, but maybe more significantly with Bankia in order to develop a new country in the scope of activities of CACF and in order to develop a pan-European business with some significant partners. In the leasing and factoring business, again, the momentum was good both in leasing and in factoring. And all in all, this division posted a very good level of profitability with revenues slightly up; costs, down, significantly down; and the net profit for this division, up 15% on the quarter. Large Customers division. Very good quarter for CACIB and for CACEIS. We have had a good momentum in terms of revenues, especially if we restate it from the ForEx effect. In the capital market division and investment banking division, revenues are up 3.2% outside the ForEx effect. And if we restate from the ForEx effect, it's even up 7%, 7.1%, to be precise. And it's been driven by almost all activities in this division. And the financing businesses were very successful this quarter, with revenues up 13.2% on a gross basis and 17.3% restated from the ForEx effect. This goes along, obviously, with an increase in the level of RWAs, but the good news is that the ratio between NBI and RWAs improved this quarter as compared to both the first quarter of this year and the second quarter of 2017. All in all, the net profit is significantly up due not only to the upper part of the P&L, gross operating income, plus 6%, but also due to the situation of the cost of risk. I already mentioned the fact that CACIB had reversal of loan loss provisions this quarter. So the net profit is up 24% for the Large Customers division. It's 22% for CACIB and plus 43% for the asset servicing division, CACEIS. The Corporate Centre contributed also to the good level of profitability of CASA this quarter, with a net loss which was a little bit below EUR 100 million. It's both the result of a structural improvement that we are building quarter-after-quarter, both on the revenue and cost sides, but also, it's due to some nonrecurring effect in connection with the fact that we perceive some dividend and some positive revenues from our private equity portfolio this quarter. Nevertheless, we are on track in order to reach this EUR 700 million that we are targeting for 2019. Let me go now to the Regional Banks, which showed also a very good level of activity this quarter both from the lending viewpoint; from the quality -- deposit quality viewpoint; but also, in the field of gaining new customers, plus 66 individual customers over the first 5 months of the year. And in terms of additional services, the sale of premium cards is up close to 10% June on June. And the Regional Banks continued to increase their portfolio of P&C insurance policies. In terms of revenues, it's interesting to note that for the first quarter since probably several quarters, revenues are slightly up within the Regional Banks, plus 0.5%. The cost of risk is at a low level, but compared to the second quarter of 2017, it's significantly up because last year, in the second quarter, the Regional Banks posted a reversal of loan loss provisions. So the comparison is not fully relevant. Let me go now to the solvency situation, starting with Crédit Agricole S.A. As I said, we are apparently stable in terms of CET1 ratio from 11.4% end of March to 11.4% end of June. Actually, it's up 5 bps. It results from a stated profit, which contributes to 47 bps of solvency. The distribution is, obviously, consuming 25 bps out of this 47, distribution both for dividends and AT1 coupons. The OCI results were slightly up 4 bps of CET1 ratio. And then the other elements, mainly, obviously, the organic growth of RWAs, is translating into 22 bps of CET1 ratio consumption. And actually, it's in connection with the increase in risk-weighted assets. It's up 2.7% on this quarter from EUR 299 billion up to EUR 307 billion. Nevertheless, the Tier 1 ratio, total capital ratio and leverage ratio are still at very good level. We -- on Page 29, we can see that this increase in the level of RWAs was mainly due to CACIB, the Large Customers division, plus EUR 5.5 billion. It's in connection both with the ForEx effect, EUR 1.6 billion but also, from a good level of activity. And again, this good level of activity translated into an increase in NBI, which was higher than the increase in RWAs with very positive situation. In the retail banking activities, it's up close to EUR 1 billion. It's in connection with the development of the lending activities of LCL. And in the asset gathering activities, it's the integration of Banca Leonardo, which is leading to this increase. As far as the group is concerned in terms of solvency, the fully loaded CET1 ratio is up actually 16 bps. Again, the rounding effect is showing translation from 14.6% up to 14.8%. Retained earnings represented 31 bps of capital; OCI result, 2 bps; organic growth, minus 19; and other and technical effect, plus 3 bps. In terms of funding, nothing much to say. The funding program is well on its way both at group and at CASA level. At group level, we managed to raise EUR 18.5 billion at the end of June. At CASA level, it's EUR 8.2 billion at end of June, but actually, EUR 10.1 billion at end of July. So it's 85 -- 84% of the EUR 12 billion medium- to long-term market funding program of CASA that has been completed. Liquidity and funding, nothing much to say. We still have a very positive liquidity situation, which is not a surprise in this environment. And so I think I can take now your questions. Thank you very much. If you have some, obviously.
Operator: [Operator Instructions] We will now take our first question from Jon Peace from Crédit Suisse.
Karl Peace: First question is just on the insurance business. You built again the policyholder surplus reserves, and they now stand, it seems, substantially ahead of your competitors. I think you said in the past that, that reserve build was largely over. So should we expect to see more of the insurance profits drop to the bottom line going forward? Or are you going to continue to prudently build it? And the second question is just what we might expect in terms of risk-weighted assets evolution going forward. As some of these jumbo deals completed, could they come -- risk-weighted assets come down again into the second half of the year? Just what should we expect going forward?
Jerome Grivet: Thank you for your 2 questions, Jon. The first one, you know that as far as the insurance business is concerned, as far as the life insurance business is concerned, the policy is clearly to wait until the end of the year to precisely assess the level of provision that we want to keep. You know that we are actually provisioning on an interim quarter. It's only an estimation of what we should do by the end of the year, and the profit-sharing rate is finalized only at the end of the year. So what I can tell you is that we have been, this quarter, cautious from 3 viewpoints. We have been cautious in terms of, I would say, generating financial revenues. And actually, the level of unrealized capital gain, not only fixed income assets, because obviously, on the fixed income assets, we generally don't try to capture the unrealized capital gain, but we just hold the bonds up to their maturities. So we don't take too much -- don't pay too much attention on the unrealized capital gains on the fixed income assets. But on the diversification assets, what I can tell you is that the unrealized capital gains are significantly higher at the end of June '18 than what they were at the end of June '17. So we've been cautious in terms of, I would say, crystallizing unrealized capital gain. We've been cautious in terms of provisioning the future profit-sharing rates. I will not disclose the level at which we have provisioned the future of profit-sharing rate, but what I can tell you is that we've been quite cautious. And then, we've been cautious in terms of increasing further a little bit the provision that is put aside for the future. This is going to be reassessed by the end of the year when we are going to finalize the level of profit-sharing that we are willing to pay for the customers and when we are going to finalize the level of provision that we want to keep. So as every year, I think the best is to wait up to the last quarter in order to really assess the full profitability of the business. But again, we've been cautious. In terms of RWA evolution, I think what we are going to be very much looking at is the capacity of the incremental RWA to generate a good level of revenues and of profitability. Obviously, some of the so-called jumbo deals that CACIB concluded are generating end of June some significant volumes of RWAs that are not here to stay. They are going to be offloaded as soon as the market operations are going to take place in the coming months. So I don't know exactly when, but part of the increase is in connection with this jumbo deals and is going to be offloaded somehow. Nevertheless, we -- so clearly, there is a potential for a decrease. But there is also, if we have the opportunity of generating well-remunerated RWAs, we have the capacity, at least I would say, to keep more or less at this level the RWA allocation to CACIB. Of course, the increase is not going to be [ EUR 5 billion ] a quarter in the coming quarters, that's for sure. But we could be comfortable with the present level and with the replacement of the RWAs connected with these jumbo deals by some more, I would say, recurring RWAs if they generate a sufficient level of NBI.
Operator: Our next question comes from Delphine Lee from JPMorgan.
Delphine Lee: So I just wanted to ask on 2 questions. First of all, on French retail. Given the good performance of the quarter, do you see upside to your guidance in terms of flat revenue growth for the full year? And is there anything you can tell us about recent trends and how the quarter is going in terms of margins, would be quite helpful. And my second question is around capital. Just wondering if there's any -- the timing of the regulatory impact that you would expect. I think on TRIM, just to understand a little bit of the capital progression that we can see for the group in the next few quarters.
Jerome Grivet: Thank you. For LCL, I think we are seeing positively the evolution of LCL this quarter, that's obvious. I don't want to change my guidance of stability because we are in a situation where obviously, we are close to the point where the volume effect is offsetting the pricing effect. So that's the good news. The bad news, it's a market indicator, which is the fact that on the French retail market, the pricing for new home loan is again down in the last 3, 4 months. So obviously, this is not, I would say, inducing me to change my guidance because I don't know exactly up to what point the competition is going to continue to go. And so clearly, it's way too early to change our guidance. So clearly, I want to keep this idea that we are targeting for the full year 2018 a level of revenues for LCL, which would be close to the level of -- to 4x the level that we've reached in the fourth quarter of 2017. In terms of capital, maybe just an additional comment on the capital situation of Crédit Agricole S.A. I already expressed that actually, we increased by 5 bps our level of capital this quarter. We have already another element, which is going to have a positive effect on our capital, which is the conclusion, the closing of the capital increase reserved to the employees that was successfully concluded, I think it was yesterday, with EUR 135 million collected. So it's going to generate another 4 bps of capital. And so pro forma, actually, this capital increase, we would be already at 11.5, just to mention this point. But going forward, we know that we have the TRIM exercises. And I really stress the exercises because there are lots of TRIM reviews going on in different areas of the group. So we know that every time the ECB is taking a look at a model -- the biggest change is that it ends up with an increased requirement. So we are ready to take that into account going forward, but we have no precise calendar and no precise, I would say, quantification. But you may remember that we've been saying, since the launching of the Medium Term Plan, that we were ready to allocate up to 70 bps to those regulatory strengthening, within which I was including the TRIM reviews. We used or we consumed probably 35 bps between IFRS 9 and the deduction of the commitments to take to the Single Resolution Fund. So we still have 35 bps without jeopardizing our capital trajectory to accommodate these TRIM exercises. But you know that we are in a world of moving pieces, and so I think we have to be able to be agile from this viewpoint.
Operator: Our next question comes from Lorraine Quoirez from UBS.
Lorraine Quoirez: Just a few questions from me. The first one is on the new partnership with Bankia. Can you give a little bit more color and tell us how this will be accounted in the P&L? I'm guessing the loans won't be consolidated onto CASA balance sheet, but just to be sure. Second thing is on the P&C performance of the regional bank. Do you expect actually an acceleration going forward? I mean, 2.1% is not bad, but I'm guessing it could be even better. Obviously, it's not in the scope of CASA, but it's still relevant for the insurance business. And the last thing is regarding acquisitions, and potentially, Poland. So is that still something that you could be contemplating, expanding your presence in the country? And actually, just trying to understand how you see acquisition in comparison to reimbursing the Switch mechanism, for example.
Jerome Grivet: Thank you. Bankia, it's -- first, it's a start-up. So day 1, there is no balance sheet, there is no volume of loans. So we are going to progressively build the balance sheet through the development of 2 different activities. The first one is to help Bankia to develop the consumer credit business on its own customer base; and the second one is to use this basis, this platform in order to develop direct consumer credit business, either through existing partnerships with retailers across Europe. And so we are then going to be able to expand our offer to new countries or pursue to maybe open some new partnerships within Spain, thanks to the development of this platform. So day 1, no balance sheet and progressively, of course, we are going to build the balance sheet. So it's going to be very progressive. P&C, I think that's an increase of more than 2% of the size of the portfolio. It's quite significant because, as you know, you have to adapt to this, I would say, the volume effect -- the value effect, which is the increase, regular increase in the pricing of P&C policies. So it means that actually, for the Regional Banks, this is going to lead to probably an increase that results to 4 -- or to 5% of the fees that they get from this business. And this is also contributing to the 8% increase in premium income for Crédit Agricole Assurance, so an acceleration would be welcome. But I think that the stability of the growth at this level for the coming years would be already very positive, both for Crédit Agricole S.A. and its insurance subsidiary and for the Regional Banks. But what is true is that in the last period of time, LCL is a little bit catching up in the development of the distribution of P&C contracts. Obviously, it was lagging far behind the Regional Banks because it's been a late starter in the distribution of P&C policies and now accelerating. In terms of M&A, first, I'm not going to comment market remarks about the sale of certain banks in Poland and now potential interest for those banks. It's purely market remarks, and we don't comment. The only thing that we have said regarding Poland is that we were not going to sell our own activities, which are not enough profitable. I already stressed it in one of the previous quarters, but it's improving, and we have a plan to continue to improve it. More globally, on M&A, I think the issue is not to have to choose between M&A and the Switch. I mean, we have been able to conclude some significant and very positive M&A transactions without actually using or requiring a capital increase because we have been financing almost all of our acquisitions with disposals. And so the idea is clearly to be a little bit more agile in terms of the management of our portfolio of activities in order to get rid of activities which are either not profitable enough or not core to our strategy, and to be able to generate a purchase capacity in order to make acquisitions in some specific business lines. And since the beginning of the Medium Term Plan actually, it was asset management, Private Banking and Italy. It's been the areas in which we'll be making some acquisitions. So I'm not going to comment potential additional M&A transactions. But clearly, you have to bear in mind that the type of M&A transactions that we could have in mind is going to remain coherent with what we've been doing in the last 2 years.
Operator: The next question comes from Max Le Gouvello from Jefferies.
Maxence Le Gouvello du Timat: First question would be organic LCL. I'm quite surprised by the dynamic of the -- on the corporate, plus 10%. Can you give us a little bit of feeling of which sector are you focusing on? Is it a catch-up effect? The second question will be regarding the acquisition of the 3 Italian banks. We are seeing that the cost/income ratio is significantly improving month after month. When do you expect to have them back to the level of Cariparma?
Jerome Grivet: Thank you, Maxence. For LCL, you're right. There is, within this significant growth in terms of corporate and professional lending, there is a catch-up effect. Because in the previous year, probably the allocation of gross capacity to LCL was a little bit tight. And so LCL, which I would say in its DNA, has a very long experience and know-how in terms of being a corporate bank, was a little bit prevented or precluded from continuing its business in this sector. So we consider that it's a good element and a good complement to the development of LCL to address this segment of customers. So I think that the first element in this performance is simply the fact that we are allocating some means to LCL in order to develop. The second element is that the market globally is quite buoyant in terms of credit demand coming from corporates and SMEs. And actually, what you can see is that we have more or less the same figure for the Regional Banks. So it's more a market phenomenon than a phenomenon purely linked to LCL. And the third point is that within the development of these loans, actually what we see is that it's massively equipment loans and almost no treasury loans. So it means that it's really in connection with the will of the corporates and SMEs in France to rebuild their capacities of production. And so it's, I would say, a sound credit demand. Italian banks, it's true that we are getting faster than expected in terms of reducing the cost base. Actually, we've made a decision to accelerate the merger of the legal entities within Cariparma. And this is clearly helping to generate the cost synergies. So as I mentioned, [indiscernible] Regional Banks was already met in June, [ changed ] in July, remaining is scheduled for September. So it means that actually, we are going to be able to work as a single bank in the fourth quarter of this year. The further step of the improvement is going to come from the progressive plugging of all our product factories on this new branches. And this is probably going to take a few quarters, a few more quarters because it's quite easy and quite -- it can be made quite rapidly to reduce the number of staff to migrate the operations on a single platform and to reduce the number of overhead and the amount of overhead. But it's going to take a little bit more time to develop the sale of insurance products, consumer credit products and asset management products. So clearly, I think that we will have to wait until probably end of 2019 or beginning of 2020 to be able to see a more homogeneous, I would say, Cariparma. But maybe one last element I can mention is that since Cariparma has taken the steering wheel within those 3 banks, it has been developing significantly. The home loan origination, plus 60% between the first and the second quarter of this year.
Operator: The next question comes from Guillaume Tiberghien from Exane.
Guillaume Tiberghien: The only question I have relates to the cost in consumer credit. I think it's the lowest level we've had for a long period of time. And I was wondering whether there were any one-offs or if I missed them. And whether we should expect such a level to be sustainable going forward or whether we should grow from here.
Jerome Grivet: I think it's a good basis in terms of cost base. There is no one-off that will be offset in the coming quarter. It's the result of some significant efforts in terms of trying to improve the global efficiency. Obviously, in the beginning, you may remember that in the beginning of the Medium Term Plan, we have given to CACF the capacity to significantly improve its IT investments, so it's now paying off. And probably, if the situation continues to evolve positively, we are going to be able to authorize CACF to continue its development. For example, this is going to be the case with Bankia. Because I said that Bankia is not going to consume capital day 1 in connection with a portfolio of loan because there is no loan day 1. But we will require some investments in order to develop this JV as soon as it's completed, as soon as the deal is closed.
Operator: The next question comes from Flora Benhakoun from Deutsche Bank.
Flora Benhakoun: I have 2 questions. The first is regarding what you announced recently with CreVal in Italy. Just if you could elaborate around your strategy there, why you chose to take a minority stake. In which case, could this minority stake be increased? And more generally also, you mentioned the potential for more partnerships, so what do you mean? The second question is regarding the Euribor litigation. There was a press article earlier this week saying that, for the banks that chose not to settle back in 2013 with the European Commission, they could potentially face a higher cost than had initially been expected, which obviously could be your case. So what can you tell us around this risk? And do you share that view? And how much have you provisioned already for this specific risk? And if I may just follow-up on 2 things you said to make sure I understand -- I understood correctly. When you mentioned that for the PPE accrual in insurance, you need to reassess at the end of the year, do you mean you could add further to this provision in Q4? Or do you mean maybe you can write some back in Q4? And regarding LCL, when you mentioned the guidance is based on the Q4 revenues, there was a one-off in Q4 revenues in LCL because of the shaky [ March ] fine. Is it reported or adjusted numbers we need to consider for the guidance?
Jerome Grivet: Let me start with CreVal. What we have concluded with CreVal, what Crédit Agricole Assurance has concluded with CreVal is a partnership in order to distribute life insurance policies. So this goes along, first, with the acquisition of the in-house broker because this is going to enable Crédit Agricole Assurance to capture the fees connected to the runoff of the actual portfolio of life insurance policies that have been distributed in the past to CreVal consumers. So there is a EUR 70 million to EUR 80 million cost of this acquisition, which is only the net present value of the fees that are going to be received by CAA in the coming years. So really, the bulk of the operation is a distribution partnership. And there is -- this is where there is the innovation in terms of strategy. Crédit Agricole Assurance has now the will, and of course, with the support of Crédit Agricole S.A., to develop especially in Italy, its distribution capacity beyond the network of Cariparma in order to benefit from the side effect that is going to go along with this enlargement of its distribution capacity. Why the 5% capital stake? Clearly, considering the importance of this partnership for Crédit Agricole Assurance on the one hand, and for CreVal on the other hand. Because as you know, CreVal has a small bank with a relatively small market cap, and granting for 15 years a distribution agreement to a single partner is a major decision for them. So the idea was, I would say, to secure this partnership with this capital stake that has been taken not by Crédit Agricole S.A. but by Crédit Agricole Assurance. So it's clearly connected, and the package is threefold: the distribution agreement; the acquisition of the broker; and the acquisition of the 5% stake. What we said is that, if going forward, we have the capacity to identify further partnership that we could develop with CreVal, for example, the P&C insurance business; for example, the asset management distribution business; for example, consumer credit distribution business, then we could go up to 10% in order to continue to secure those new partnerships. This is exactly what we say. So the stake in the capital of CreVal must not be seen as an investment from Crédit Agricole S.A. but as a feature to secure industrial and commercial partnerships. So Euribor, nothing new from our viewpoint this quarter, no move on the provisions and no fear of worsening of our situation with the European Commission. So we don't feel concerned at all by the news that you have reported. And on the PPE, you're perfectly right. I meant that up to the end of the year, we have the capacity either to complement or to reduce the level of PPE. It's only once a year that the level is settled, and that the profit sharing is attributed to the policyholders. So it means -- and if you take the history of the last 4 or 6 or 10 quarters in terms of PPE evolution, you would see some ups and downs. The trend was globally upwards clearly, but on a quarterly basis, you may have -- you may see some volatility -- volatility is not the right word, but some moves which can be either upwards or downwards. It's clearly a tool that helps us adjust and fine-tune, I would say, the financial management of the company. Okay?
Flora Benhakoun: Yes. And just on LCL, to clarify the guidance.
Jerome Grivet: In LCL, the guidance is clearly in connection with the underlying revenues of LCL in the fourth quarter of 2017. I don't remember actually if the image check if it was in NBI or in another line of the -- it was in NBI, but excluding this fine, obviously.
Operator: The next question comes from Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: Just on the consumer finance and the risk profile there. As you launch into new markets like Spain, does the normalized kind of cost of risk you think about [ drift ] up over the medium term as you kind of diversify away from France and the core market that you know well? And then just very quickly, could you just remind us how much capital you've got tied up in BSF in Saudi at the moment, please?
Jerome Grivet: For the consumer credit business, of course, obviously, the parameter of the activity are different from one country to another. We don't have exactly the same parameter between France and Italy, just to mention 2 very important countries for us. So clearly, and our expertise is to know exactly how to monitor the margin that we take on the customers in connection with the level of the cost of risk. And obviously, as we are going to open a new country, we will have progressively to fine-tune our understanding of the parameter in this new country. But CACF is already active in probably 10 of 12 European countries, so it has clearly the capacity of being able to react very rapidly in order to either increase or decrease the pricing of the new loans to adjust the potential cost of risk. So I don't think this is going to change massively the average cost of risk of CACF going forward, considering the fact that the size of the loan book of CACF is very significant. And the expectations in terms of growing the loan book, thanks to the Bankia partnerships, is not going to represent a massive modification of the breakdown of the portfolio. But clearly, this is going to be a new country in which the parameter are going to be different than what they are now in the countries where we stand. Maybe one last point on that is that this is the idea of starting with well-known and renewed -- renowned partner, which is Bankia. Bankia knows the market, knows the quality of the credit in Spain, and this is going to be a joint venture. So they are going to be interested in managing the cost of risk, as we are going to be. BSF, the value of the stake that we have is roughly depending on the value of the stock on the Saudian market. It's between EUR 1.2 billion, EUR 1.3 billion, EUR 1.4 billion. It's classified in [ HDCF ] so it can contribute positively or negatively to the OCI reserves on a quarterly basis. And in terms of capital, so it's a listed stock, so you can compute the capital consumption. Then you have the way, the [ tranches ] are allocated, but this is globally the figure.
Operator: Our next question comes from Anke Reingen from Royal Bank of Canada.
Anke Reingen: Two questions. The first is on your operating leverage, and thank you very much for giving us the adjusted numbers there. I just wonder, is there something you would caution us to -- why the sort of that couldn't continue the same rate as we have seen before? And do you feel maybe like tempted given this is going so well to invest a bit more to in marketing and so on? And then secondly, on your faster growth in SME and corporate lending and French retail banking. Is this something that should impact the margin positively going forward, but also potentially come with a slightly higher cost of risk?
Jerome Grivet: You mean your second question was regarding which business?
Anke Reingen: French retail banking and the faster growth for...
Jerome Grivet: In LCL?
Anke Reingen: Yes, please.
Jerome Grivet: LCL? So in the French retail banking, let me start with this one. In the French retail banking business, it's the case for LCL and for the Regional Banks. We see absolutely no sign of deterioration of the quality of risk. Naturally, what we have seen is a level of cost of risk which is very stable and very low regarding all the past years that we have known on this market. I think this is the result of partly the decrease in the level of interest rate. Because the decrease in interest rate is putting some pressure on our net interest margin, but it's also improving the creditworthiness of our counterparts. So clearly, we have at least a partial compensation for the pressure of the NII to the level of the cost of risk. And I think that the good momentum that we have on the development of the credit is not actually embarking additional cost of risks. And your first question was regarding investments, be it in IT and in marketing, if I understand correctly.
Anke Reingen: Yes. Just the operating leverage is obviously very good. And I just wonder if there's anything we should consider that maybe second half we should -- more investments coming in or actually the attempt given your operating leverage is so good to invest more as well.
Jerome Grivet: No, I think we have the capacity to continue to be very efficient from a cost viewpoint. For example, in the first half of the year for LCL, we have been reducing the cost base by something like 2.5% for the first half of the year. And within this 2.5% decrease, there has been a significant increase in the marketing expenses. It means that clearly, we are reducing the level of running cost, but we are not compressing the investment capacity. So I'm not pretending that we are going to be able to continue to reduce the cost base by 2.5% year on year on year. But we are not going to suddenly increase the cost base by 2.5% simply because we have had a good quarter in terms of revenues.
Operator: Our next question comes from Tarik El Mejjad from Bank of America Merrill Lynch.
Tarik El Mejjad: Just only one question from my side, that would be on Italy. I mean, this is your second home market. And given the latest acquisitions, clearly, you seem very committed. Can you please give us just some view on what's your outlook in terms of macro over there? And more importantly, from the economic environment and corporate growth, I mean, given the uncertainty about implementing the reforms as fast as initially expected. So has anything changed in your view on how the country and the macro will evolve? Yes, just some view on that.
Jerome Grivet: Well, clearly, our views have not changed regarding Italy. We see it as a country where, especially in the northern part of the country, the economy is quite dynamic. There is a very important number of SMEs and small corporate, I would say, that are dynamic, exporting, investing and that are good customers for us. Of course, we have to be cautious because this is probably a country where the average level of risk doesn't have the same meaning as in France, for example. So we have to be very cautious in the choice of our counterparts. But globally, the economy grew by more than 1.5% last year. And if you take into account the fact that probably the southern part of Italy was closer to 0, it means that the dynamic in the northern part of Italy was probably even higher than in France. So we are positive on this market. Obviously, there is quite complex political situation, but we feel that at the end of the day, there is going to be a path in order to accommodate the present situation. And so we have no specific fear about the medium- and long-term outlook in this country.
Operator: The next question comes from Jacques-Henri Gaulard from Kepler Cheuvreux.
Jacques-Henri Gaulard: Two questions. First of all, I'm looking at your underlying H1 '18 at EUR 2.2 billion. Looks to me that you could easily make your higher than EUR 4.2 billion net profits. Obviously, it's a question we had last year already, but it's interesting to get your view about that, whether you could be 1 year early. And the second question, I think for you, Jérôme, is more like the bank -- the company has changed significantly, okay? You were somewhat a bit of a bank with a lot of holding company capabilities in a way. You've completely reshuffled, changed the assets in depth. How does it change the way you're steering the company financially? Have you noticed quite a bit of change? Or has your job changed actually in a way?
Jerome Grivet: We could spend the rest of the afternoon on the second question, Jacques-Henri.
Jacques-Henri Gaulard: No, no, no.
Jerome Grivet: Let me start with the first one. Obviously, we have had a good start this year. If I remember correctly, 3 months ago, you were not as, I would say, positive on our outlook for the full year. So may I just take argument from your own cautiousness 3 months ago, not to make any prediction for the rest of the year. We are on track. We are quite satisfied with what we did in the first half of this year, and we are now working on the second half. This is going to be my answer. Then for the financial management of the group, actually, yes, the perimeter has significantly changed. Yes, we have -- we are now in a situation where 95% of what is accounted for in our P&L is controlled businesses, in which we have the steering wheel. And yes, this is leading to a situation where when I'm talking with the CFOs of the business lines, we are talking about a very, I would say, pragmatic and concrete issues, which enables us to, I would say, monitor very closely all the parameter, the financial parameters of the group, which is, for example, making it possible for us to adjust the allocation of RWA to a business line or another one if we feel that there is a capacity to generate a good level of NBI with those new RWAs. So it's, I think, a situation where it's more demanding but it's more agile and more efficient.
Operator: The next question comes from Jean Neuez from Goldman Sachs.
Jean-Francois Neuez: A follow-up -- another question on Italy. So you might have answered this before. I joined late because I was actually looking at other Italian banks' results that came at the same time. But when I look at the participation in CreVal, I wasn't able to ask the reverse question, which would be, why not buy the whole thing? I mean, if you make a bit of assumption on cost synergies which are going very well already in your own network, funding synergies, all the product capabilities that you said you are able to potentially put in going forward. I mean, the market cap of this is like EUR 700 million is less than a quarter of your own profits, as in a quarter in time. It begs the question, why not? I mean, the banks have done deals on tremendously higher multiples.
Jerome Grivet: Is this a question or a [ bluff ] ?
Jean-Francois Neuez: It is absolutely a question. The question is why not.
Jerome Grivet: Well, for example, this is not on the table. So what we are both in is to develop this partnership and to make it a success. So your idea might be an interesting idea from, I would say, an intellectual and theoretical point of view. This is not on the table.
Jean-Francois Neuez: Okay. Because the seller is not willing?
Jerome Grivet: Because this is not on the table. I understand this was the last question. So if it's the case, again, thank you very much to spend this 1.5 hour with me on this call. And I wish to all of you a nice and resting month of August, and waiting to talk to you in November. Bye-bye. Good afternoon, good weekend, good vacation.
Operator: That will conclude today's call. Thank you for your participation, ladies and gentlemen. You may now disconnect.